Operator: Good morning and welcome to the third quarter 2020 Pilgrim's Pride earnings conference call and webcast. All participants will be in listen-only mode. [Operator Instructions]. At the company's request, this call is being recorded. Please note that the slides referred during today's call are available for download from the Investor Relations section of the company's website at www.pilgrims.com. After today's presentation, there will be the opportunity to ask questions. I would now like to turn the conference over to Dunham Winoto, Head of Investor Relations for Pilgrim's Pride. Please go ahead, sir.
Dunham Winoto: Good morning and thank you for joining us today as we review our operating and financial results for the third quarter ended September 27, 2020. Yesterday afternoon, we issued a press release providing an overview of our financial performance for the quarter, including a reconciliation of any non-GAAP measures we may discuss. A copy of the release is available in the Investor Relations section of our website along with the slides we will reference during this call. These items have also been filed as 8-Ks and are available online at www.sec.gov. Presenting to you today are Fabio Sandri, President and Chief Executive Officer and Chief Financial Officer and Joe Waldbusser, Head of Commodity Risk Management. Before we begin our prepared remarks, I would like to remind everyone of our safe harbor disclaimer. Today's call may contain certain forward-looking statements that represent our outlook and current expectations as of the day of this release. Other additional factors not anticipated by management may cause actual results to differ materially from those projected in these forward-looking statements. Further information concerning those factors has been provided in today's press release, our 10-K and our regular filings with the SEC. I would now like to turn the call over to Fabio Sandri.
Fabio Sandri: Thank you Dunham. Good morning everyone and thank you all for joining us today. For the third quarter of 2020, we reported net revenues of $3.08 billion and adjusted EBITDA of $305 million or a 9.9% margin, 18% higher than a year ago and on an adjusted GAAP EPS of $0.66. I would like to express my sincere gratitude to our global teams for their continuing commitment, dedication and hard work in supporting our ability to keep our team members safe and healthy while maintaining our ability to produce and supply customers during this challenging time. I could not be more proud of our team as they have continued to come together to support one another, our customers and consumers. Safety is a condition at Pilgrim's and our team members responded admirably to the unprecedented conditions supplying products to our customers. They were continuously adapting our global operations to the change in channel demand while adjusting our operations to be able to maintain the operations at all our plants and minimize any significant disruption due to labor and health issues. We remain diligent in implementing precautionary proactive steps to better safeguard the wellness and health of each team member while fulfilling our essential duty as a food producer to consumers in every region where we operate. Direct COVID-19 mitigation costs of roughly $27 million for the quarter and close to $77 million year-to-date. The direct costs are related to the extra cleaning of our production and common areas, the extra PPE including masks and safe shoes that we are providing to all of our team members and the installation of physical barriers in our production areas. We also installed dual technology UV and bipolar ionization in every plant to filter the air and neutralize potential viruses. We are offering free live help online services that allow for virtual doctor visits at no cost and above all CDC guidelines. We removed vulnerable team members from facilities with full pay and benefits during community outbreaks. This figure doesn't includes indirect cost. There are a lot of indirect costs. They are more difficult to precisely quantify, such as overall disruptions to our operations, less optimal mix and production inefficiencies that are not included in these numbers. Also, we are supporting our communities with out Hometown Strong initiative. It is an example of how we value the important role we are playing to the communities where our team members live and work. We understand the responsibility that comes with being a major employer in rural communities and we work hard to will contribute to the wellbeing of those communities by not only providing gainful employment opportunities but also participating in volunteers, donation and sponsorship opportunities. This quarter, we accrued $50 million in SG&A for this initiative. Turning to the specifics of our business. Despite continuing volatility and challenging market environment in Q3 and added operating costs, we have continued to generate a superior relative performance to the competition and have remained resilient to market fluctuations. This is a reflection of our portfolio approach including the strategy on well-diversified products, broad geographical footprint and the ultimate focus on key customers. For the full quarter, operating performance, both in U.S. and Mexico, significantly improved sequentially and Europe also continued to increase despite the challenges due to COVID-19. In Q3, we saw market conditions continue to recover across all of our global operations with U.S. and particularly Mexico experiencing the strong rebound in performance relative to weak conditions during the first half of the year. We are pleased with the results, especially when taking into account all the disruptions, less than optimal product mix and added operating costs when compared to the environment in 2019. Despite continued challenging global market conditions due to COVID-19, our consolidated results have also remained well-balanced and the result of our vision to become the best and most respected company creating the opportunity of a better future for our team members. To support our vision, we have continued to implement our strategy of developing a unique portfolio of diverse complementary business models, continue to relentlessly pursue operational excellence, becoming a more valued partner with key customers and creating an environment for safe people, safe products and healthy attitudes. While our market conditions in all our global operations have continued to improve during the quarter, foodservice demand globally still has not reached prior levels and the environments are still quite challenging in some sectors where operate. Disruptions from COVID-19 have continued to present a significant challenge on each individual country's demands for protein consumption as well as for the flow of global trades and generate volatility far beyond normal seasonal factors. We will maintain our strategy. We have continued to improve the portfolio to better respond to individual market dynamics and generate a relative increase in performance over peers. We believe this approach will give us higher and more consistent results for the mid to long run and minimize the full peaks and troughs of the commodity sectors. During the third quarter, in U.S., we have continued to see demand recovering at our fresh operations, including from some sectors within foodservice with more states gradually losing travel and movement restrictions. QSR volume has been especially strong and demand from our customers has been outperforming the industry. Similar to last quarter, commodity large bird deboning was also again the most challenged during Q3. Operationally however, we continue to improve our relative performance versus the industry across all business units. We are continuing to adapt the shifting channel demand by increasing our volume mix to key customer retailers. In addition, a large portion of our foodservice customers are also within the QSR segment, which has further dampened the impact across our fresh business unit models. Our portfolio of differentiated products along with our key customer model are giving us better insulation against the volatility. We are also much better positioned to adjust product and channel mix given our presence across all bird sizes, from small to large. Within the small bird and case-ready segments, market supply and demand was again very well balanced during Q3. Demand from retailers, especially from our key customers, was strong supporting improved performance of our case-ready business. Our market leadership in these categories and more differentiated product portfolio have continued to strengthen the growth of our competitive advantage versus the industry. While the commitment to our key customer strategy has been reflected in the consistency of our past results, the value of this approach has never been more relevant to our growth than during the current times of uncertainties and challenges. To further support the growth of key customers, we are doubling our case-ready capacity at our plant in Minnesota by increasing the number of heads processed at the plant while also raising the mix of more stable margin case-ready products. With this addition, we also expect to increase by 20% our production of our differentiated, high-attribute Just BARE brand products. It has also supported our conversion of one plant from the commoditized large bird deboning to a key customer QSR in the small bird segment. The strong relationships we have with key customers are giving us many opportunities to sustain our volume increase, since these customers rely on us to satisfy their needs for growth. In addition, many of our key customers maintain a leadership position in their respective categories. As a result, we are direct beneficiaries of their ability to outgrow their competition. Beyond driving pure growth, our key customer strategy also promotes trust, enhances long term relationships and strengthens our margin structure. In U.S. prepared foods business, revenue declined 23% on 26% less volume year-over-year. A large part of this decrease, 70% of the volume was driven by schools remaining closed, partially offset by strength in the retail demand. On the other hand, our margin from sales have improved 29% driven by more favorable price and mix. We continue to simplify our portfolio to improve efficiency and shift resources towards branded growth in the retail channel. Our Pilgrim's brand sales grew 52% and our Just BARE brand gained a new distribution resulting in dollar share growth in the retail channel. Turning to cold storage data. At the end of August, broiler inventory was up 2% from the close of Q2, but down 1% from the previous year. Leg quarter inventories were up 10% compared to last year. This was not surprising considering the mix simplification due to low volume labor constraint seen during Q3 and overall lack of worldwide financial liquidity as a result of COVID-19. As some markets reopen and the pipelines are empty, we are seeing some increasing leg quarter sales during October and a reduction in inventories and upward movement in prices. U.S. poultry exports including paws were up 4.7% year-over-year throughout August. Broiler meat alone was up 3%. In contrast, through Q3, out exports have increased by 14% year-over-year outpacing the market. China continues to be a significant growth driver and we believe the impact of ASF in Southeast Asia and now Germany can provide further support to export demand. As we approach the one year anniversary of China reopening to U.S poultry, producers are presented with roughly different market landscape than a year ago. China has solidified itself as one of the largest export destinations for poultry, second only to Mexico. China's presence as a significant buyer keeps diversification of our export portfolio a high priority. We have added 95 new direct clients in 2020 and have also continued to diversify our product and destination mix. Sales of nontraditional export items are up 30% year-over-year which strengthens the cutout margin. We enter Q4 with optimism as we continue to place commodity items efficiently, leverage business overall portfolio diversity and prioritize exceptional customer service to meet the needs of our key customers around the world. After a very challenging first half of 2020, our Mexican operations delivered great results in Q3 and we recorded one of the strongest Q3 in the company's history despite the unfavorable mix impact and added operating costs relative to the same period last year. More normalized economic activities, an improved supply demand balance in the market, our increased share of non-commodity products and a very good operational performance, all contribute to the results. Although volume demand is improving, we remain agile and are continuing to adapt our facilities by shifting production to those channels that are experiencing better relative demand. Prepared foods in Mexico has faced some challenge, especially in the value categories due to less traffic on retail combined with a contraction in the QSR volume but we began to see some signs of improvements towards the end of the quarter and we believe the positive trend can be sustained into Q4. We remain committed in long term growth and demand prospects in Mexico. We are continuing to invest our Del Dia and premium Pilgrim's brand, both in fresh and in prepared as well as seeking more market share in the modern channel which will bring more stable margins to our operations. Our European chicken operations delivered an EBIT in Q3 that was 13% sequentially above Q2 with both volumes and revenue 7% and 18% higher respectively supported by our exposure to retail and the continuous recovery in foodservice and QSR demand, in particular. Relative to Q3 of 2018, EBIT was still higher 2% despite 8% lower volume and 5% lower revenue. Some easing of COVID-19 restrictions due to reduction of U.K. government incentive direct source foodservice as well as a consistent improvement in foodservice demand within continental Europe has also contributed to a better sequentially improved performance versus the prior quarter but still have not yet reached prior levels. Even during this challenging time, we continue to be relentless in investing in innovation, delivering labor and yield improvements, driving better efficiencies, managing our cost base and offsetting cost increases to lean manufacturing techniques and capital investments around automation and process flow without sacrificing the health and well-being of our team members which remains our priority. We are committed to delivering the safest work environment possible, improving the quality of our products while achieving our sustainability agenda and bird welfare targets. Our relative performance to industry measured as the result of last 12 months continues to show us improving and outpacing the average of the competition in Europe. For next quarter, we expect further improvements coming from the foodservice and QSR segment as these segments adapt to the situation in each country and we remain vigilant and prepared to react and adapt in case market conditions change. The performance of our newly acquired European pork operations have continued to improve with EBITDA on an upward momentum. We have now been profitable on an EBITDA basis for the last six quarter in a row with margins also increasing on a consistent pace. The improvement in performance was driven by robust demand at retail, partially offset by a reduction in foodservice, continued strength in pork exports especially to China, as well as the implementation of operational improvements and capture of synergies. Exports to China remain strong and we are up 100% in Q3. Also, exports to China have doubled as a percentage of our total pork sales and we expect demand from China to continue driving the strength in our overall export in the near future. All of our European fresh pork facilities are approved to export for China. So we are well-positioned to benefit from those opportunities. We also continue to evolving our strategy and we will significantly increase our volumes with a new key customer in the next quarter. Integration of the assets is on track to expectations. Over the next few years, we expect to generate an EBITDA improvement to achieve a level that is competitive with leading companies with similar portfolios. We have expanded our distribution capability for the newly acquired European assets through some recent wins to increase our retail exposure and strengthening our partnership with key customers. We are optimistic about building upon our operational improvements by continuing to optimize its manufacturing footprint, extract best-in-class operational excellence, capitalized export opportunities, optimize the portfolio of channels, segments and products as well as strengthening our growth business with key customers to drive innovation in value-added and higher-margin areas. We have a great team in Europe dedicated to generating the best possible relative results by focusing on factors within our control while ensuring we are protecting the safety and health of our team members. Corn prices have been rising since August, driven higher by a combination of stronger than expected export demand and smaller than expected old crop ending stocks in the U.S. The FDA is projecting new crop ending stocks at 2.17 billion bushels versus 1.99 billion last year, which includes 560 million bushels increase in export demand. The current corn crop is projected at 14.7 billion bushels, the highest in four years and over 1 billion bushels larger than last year. Although corn prices have risen from the lows we saw in August, prices are very similar to where they were this time last year. Soybean meal prices have also risen since August, driven higher by larger than expected export demand, primarily to China. USDA is projecting the current soybean crop at 4.3 billion bushels, up over 700 million from last year. Despite the large increase in production, USDA is projecting new crop and new stocks at 290 million bushels, the lowest level in four years. The uncertainty over the size of the Chinese import program is causing increasing uncertainty and volatility in the oil seeds market globally. Wheat prices in Europe has also risen recently despite the larger than expected Russian wheat crop and transacted increased supply in other major wheat exporters like Australia. A slow start to the planting season in Russia and larger than expected export demand out of the U.S. are contributing to the rise of prices in the wheat market. On the chicken production, according to the USDA, Q3 was 0.5% relative to Q3 2019 and increased live weight did not affect headcount reductions. The industry continues to maintain a larger layer flock, with current levels 4.4% above last year, in line with the trends observed in Q1 and Q2. The industry has also managed to reduce the average age of laying hen promoting a younger, more efficient breed. This has allowed the industry to maintain flexibility to manage supply of eggs in the short term while enabling growth in the long term as the demand environment improves. Overall, the trend has shown a slowing of pullet placement growth, which is in line with expectations, given that most of the pullet placement increases in 2019 and early 2020 were expected to be supportive of new capacity that are come online over that period. From Q2 to Q3, COVID-19 related restrictions have slowly been rolled back with many businesses and restaurants opening under modified environments to protect worker and consumer health. Throughout this process, consumers have proven highly adaptable to the new normal and have continued to modify their shopping and spending habits in response to the new normal environment. This new consumer environment favors the retail channel as many consumers are still required to work from home and choosing to limit exposure to potentially more crowded areas. As a result, retail demand for chicken, like that of all proteins, has remained supportive throughout the quarter. While foodservice demand still trail below years ago level, this channel has proven highly adaptive and continues to improve each month from the low points in April, led by the QSR segment. Entering Q4, the USDA expects production to be flat for the quarter on a year-over-year basis before entering 2021, in which the USDA expects broiler production to grow 0.9% versus 2020. High unemployment and consumer uncertainty contribute to a fluid market environment fallout effects of COVID-19 will impact the channels differently. We expect the restriction of restaurant capacity, social distancing guidelines, consumer concern for individual health and the adaptation of consumers to their personal economic situations to conditions to continue favoring increased frequency of at-home meals. Since chicken continues to be one of the most affordable and versatile proteins, retail demand is likely to remain above year ago levels. While we expect overall foodservice demand to remain more volatile and remain below year ago levels, at least in the near term, QSR's ability to adapt quickly to the new environments is a positive sign for chicken industry moving from late 2020 to 2021. Our strategy is designed to adapt well to the challenging macro economic conditions while minimizing the impact from volatility in market conditions. While we are already well-balanced in terms of bird size exposure, we will remain diligent in seeking opportunities to incrementally diversify our product mix and reduce the commodity portion of our portfolio by increasing the number of differentiated products to key customers while optimizing our existing operations by pursuing operational improvement targets. Our key customer approach is strategic and creates a basis for further accelerated growth in important categories by promoting more customized, high-quality, innovative products to give us a clear, long term, sustainable competitive advantage while further improving the resiliency to market fluctuations. With that, let's turn to additional details on our financials. Our SG&A in the third quarter was higher versus a year ago as improved the efficiencies of our expenses but increased support from expanding the Just BARE brand nationally and new investments for our new prepared foods products, both in U.S. and Mexico, as well as the inclusion of the new assets in Europe. Also included in the reported SG&A is our $50 million contribution to the Hometown Strong initiative and the DOJ agreement. We will continue to prioritize our capital spending plans this year to optimize our product mix that is aimed at improving our ability to supply innovative, less commoditized products and strengthening partnership with key customers. Even during these uncertain times, while we continue to evaluate all CapEx projects and defer those we deem nonessential, we reiterate our commitment to investing on strong return on capital employed projects that will improve our operational efficiencies and tailor customer needs to further solidify competitive advantage for Pilgrim's. Our balance sheet continues to be robust given our relentless emphasis on cash flow from operating activities, focus on management of working capital and disciplined investments in high-return projects. Our liquidity position remains very strong with more than $1.3 billion in total cash on availability. We have no short term immediate cash requirements, with our bonds maturing in 2025 and 2027 and our term loan maturing in 2023. During the quarter, our net debt was $1.9 billion, the lowest since 2016 and a leverage ratio of 2.5 times last 12 months' EBITDA. Our leverage remains at a manageable level and we expect to continue to produce positive cash flows this year, increasing our financial capability to pursue strategic actions. We expect 2020 interest expense of around $130 million to $140 million. We have a strong balance sheet and a leverage that is within our target, which are supportive for us to act on great opportunities during these uncertain times. We remain focused on exercising great care and ensuring that we create shareholder value by optimizing our capital structure while preserving the flexibility to pursue a growth strategy and we will continue to consider and evaluate all relevant capital allocation strategies that will match the pursuit of our growth strategy and we will continue to review each prospect accordingly to our value-creating standards. Operator, this concludes our prepared remarks. Please open the call for questions.
Operator: [Operator Instructions]. The first question is from Benjamin Theurer with Barclays. Please go ahead.
Antonio Hernandez: Hi. Good morning, Fabio and Dunham. This is Antonio Hernandez on behalf of Ben Theurer. My question is regarding COVID-19. How is your current level of absenteeism at plants? How is that evolving in recent weeks considering there are continuously high number of patients in the U.S.? I am not sure if you can provide some kind of a run rate of protective measures related to COVID-19 during the quarter? And what do you see going forward? Thanks.
Fabio Sandri: Yes. Thank you and good morning. First, as we face this global Coronavirus pandemic, we have been guided by three principles. First, an uncompromised commitment to the safety of our team members. Second, recognizing and embracing our responsibility to provide quality food for the country and of course endeavoring to provide continued employment opportunities and benefits to our team members during a time of unprecedented economic upheaval. So the direct cost are related to the extra cleaning in our production and common areas. We are also providing the PPE, including the masks and safety shoes to all of our team members and we installed physical barriers in our production areas. And of course, we are maintaining social distancing in whatever areas we can. We have built more than 10,000 barriers within the first 30 days of this pandemic and we continue to upgrade those barriers. We also installed the dual technology UV and bipolar ionization in every plant to filter the air and neutralize potential viruses. As I mentioned, we are offering fee live health online services for all of our team members that allow for virtual doctor visits at zero cost. And above all CDC guidelines, we removed the vulnerable team members from facilities with full pay and benefits during community outbreak and that is creating some challenges to operations because by removing those people, we have less people at our plants. The situation is very fluid. It varies from plant to plant, but over the last month, we have increased our staffing to close to the levels that were before COVID. So we are already running a much better mix than we were during the Q2. And we are seeing a very good increase in our absenteeism levels. As people are more familiar with what we are doing as we are gaining the trust of the entire communities, people the less reluctant to return to work and with that we have been improving our ability to execute the optimal mix. Of course, we are also working with our key customers to simplify our mix to create a more optimal footprint. And with the frequent communication with them, we are ensuring that our team members, we expect to return to the optimal operation in this quarter.
Antonio Hernandez: Perfect. Thanks a lot and congrats on the results.
Operator: Your next question is from Ken Zaslow with Bank of Montreal. Please go ahead.
Ken Zaslow: Hi. Good morning everyone.
Fabio Sandri: Good morning Ken.
Ken Zaslow: Just two questions. One is, as you change your mix, what was the mix between big, small and medium, say last year? And then what do you think it's going to be now? And then what do you think it is going to be in about a year from now, as you adjust your product mixes?
Fabio Sandri: Yes. Ken, we are well balanced between small birds, tray pack and large bird deboning. What we are doing is, as the demand has been shifting to more retail, we have been shifting our operations. Also with the growth of QSR, we have also adapted those conditions. What we are doing for 2021 is to, first, move that plant from big bird deboning to small bird deboning, which will increase our presence in that segment. We are also doubling the capacity in our Minnesota plant to comply or support the growth of our key customers and our Just BARE brand which has doubled the sales in the online channel over this quarter. Looking into overall portfolio, we moved from 46% of our total sales in retail to around 51%, just in 2020 with small changes in our operations. For next year, we expect 2% increase in that portfolio to the retail and 1% to 2% increase in small bird with those two conversions.
Ken Zaslow: Great. My next question is, can you talk about the sustainability of the Mexican margins? Particularly, I did see that there was a little bit of a FX benefit. How do you think about the Mexican operation? I think you did say that it's still continuing the momentum into the fourth quarter. Then how do you think about it for 2021? How do we frame it in our minds?
Fabio Sandri: Yes. Sure, Ken. And we have been talking about Mexico over the last years that they are very volatile quarter-over-quarter but they are more stable if you take a longer period of time or within a year. What happened in the first quarter or in first semester in Mexico was complete imbalance in supply and demand. So the industry increased supply during the first semester and at the same time, demand, because of the COVID-19 really create a challenged environment. As you remember, in Mexico, there was no support from the government with COVID-19, like we had in U.S. and Europe. There was no governmental stimulus or unemployment benefits. It created a sharp slowdown and recession in the region which really affected the demand, both in the foodservice and retail. While within U.S., we saw an increase in retail compensating, at least partially, the shutdown in foodservice that didn't happen in Mexico. And that's why the supply and demand was completely off-balance. As the industry adapted their supply for the Q3 and we at Pilgrim's adapted to their situation as well, we reduced our cost and we also cut production, the supply and demand improved a lot and we the rebound in the foodservice end demand in Q3. And now, we have very stable prices during this time in Mexico. We expect this to continue during Q4. Q4 has always been a stronger quarter for Mexico with the festivities. We don't know at which point that will be reduced because of the COVID restrictions. We are seeing some increasing cases in Mexico. So there could be some more restrictions in Q4. But given the supply and demand situation that we are in right now, the results are sustainable. Now, for Q1, we expect the industry to increase production to adequate supply and demand and the return to more normal levels, Mexico is really volatile quarter-over-quarter, again, but we expect to be very stable year-over-year. Of course, our strategy is supportive of the growth to increase the high margin differentiated products as well. We saw a little bit of impact in the prepared foods, especially on the more affordable products during Q1. But we continue to invest and the highly differentiated Pilgrim's products continue to sell really well. Longer term, despite the volatility, Mexico is a growing economy and as the population increase their disposable income, it leads to a significant growth in protein consumption.
Ken Zaslow: Great. I really appreciate the answer.
Fabio Sandri: Thank you Ken.
Operator: The next question is from Ben Bienvenu with Stephens Inc. Please go ahead.
Ben Bienvenu: Hi. Good morning.
Fabio Sandri: Hi Ben.
Ben Bienvenu: I want to ask, you touched on in your opening comments with ASF in China and Germany. I want to ask on Germany more specifically. I would think that's a nice boon for the Tulip business. Just curious on what you are seeing in that business, both as it relates to the impact on the domestic market and then an uptick in potential demand from that market as well? And how do you think you are positioned capture that benefit?
Fabio Sandri: Yes. Thank you Ben. The operations in Europe are more focused on the retail. So we produce most of our products in U.K. for the retail U.K. market. And because of the high welfare, we command a premium in that region. The big competition, as you refer, is on the foodservice sector of the imported products from Poland and Germany, mainly and Spain on the pork side. As the Germans have these issues with their production and because of the ban in China, it actually increases the sales in the U.K. market. It also creates the opportunity for our U.K. products to be sold into China. So what we saw is that, on the, what we call fifth quarter products, a significant increase in pricing. But on the normal products like loins and others, we see the prices more stable because it's is a zero-sum game at the end of the day. So it increases the opportunity to China. So that was welcome. I think our sales have, like we mentioned, have doubled during Q3 and we are seeing some very stable pricing. But it also increases the competition in the foodservice segment in U.K..
Ben Bienvenu: Okay. Great. My second question is related to grain. And apologies if I missed this in your opening comments. I did hear your overview of the market. Could you talk about how you are positioned relative to the markets? Are you more hand-to-mouth at the moment? Do you have any bases secured? Any color you could offer there on you are positioned through the balance of fourth quarter and into next year would be helpful.
Joe Waldbusser: Hi Ken. This is Joe. Thank you for the question. Obviously we have seen prices of corn and soybean meal increase in the last few months which have been the result of a few factors. For corn, we have seen a reduction from the supply side with USDA reporting six million fewer planted acres than they originally estimated back in March. We also saw our final stocks for 2019 end up being 200 million bushels less than was expected when the final counting was done. On the current crop, we actually, for the acres that were planted, see pretty good yield, above trend line yield. So it's not an issue on the supply side in terms of U.S. production. But on the demand side, we have also seen less bigger export demand, primarily driven by China. Still, the USDA is projecting a carryout of around 2.1 billion bushels and that includes a 30% increase in export demand from last year. So even if export demand ends up higher than what USDA is projecting, corn stock should still be in line with previous years. On soybeans, USDA is projecting a 290 million bushel carryout which should be the lowest carryout in five years. This projection though includes a 31% increase in export demand, driven by China in addition to the increased export demand in Argentina, which is one of the world's largest sole seed exporting countries, is in the midst of a historic economic crisis which is causing farmers there to hold back available supplies from the market adding more pressure to the U.S. to meet this demand. We believe the market is likely to feel anxious about U.S. soybean supplies until there is a resolution to this currency situation in Argentina or until South America's supplies can be available to meet this demand. In terms of how we are positioned, we have always said that our hedging strategy is adaptive to the market conditions and the risk we see and we feel very comfortable with where we are in corn and soy. We do recognize the risk to soybean supplies in U.S. and our positions reflect that.
Ben Bienvenu: Okay. Awesome. Thanks and best of luck.
Joe Waldbusser: Thank you Ben.
Operator: [Operator Instructions]. Your next question is from Michael Piken with Cleveland Research. Please go ahead.
Michael Piken: Yes. Hi. Good morning. I just wanted to touch base a little bit more in terms of the move, I guess, into retail and some of that big bird product, is that being chopped up and put into trays? And how is that impacting some of the margins on the commodity business?
Fabio Sandri: Yes. Mike, there is a lot of products on the big birds, especially during promotional seasons, seasonality during the summer that some of the big birds end up being put in the tray to be sold in the retailers. We continue to do that. I think the challenge to the industry is that we need to have the labor available and the facilities available to do more of that. And that's why the industry has not increased more of the production to the tray pack as we want or as the demand continues to grow. It's also because of that that we are increasing the capacity in our Minnesota plant. So as of today, yes, we are buying big bird meat and we continue to put it on the tray, especially during Saturdays. And I think the whole industry is doing that.
Michael Piken: Okay. Great. And then my second question is, just looking at the, you mentioned that your absentee rates were starting to down, you are starting to get back to normal mix. In terms of some of deboned dark meat, are you starting to return that to historic levels? And what could that mean for the leg quarter prices, which has seen the most pressure? Can that help? Or is the fact that China is taking more pork, can that help with leg quarters? I mean why haven't leg quarter prices moved if there's deboned dark meat potentially being produced and it seems like, at the very least, try and to take in more U.S. pork?
Fabio Sandri: Yes. You are right, Mike. Because of the absenteeism and also the foodservice industry in U.S., the industry produced 3% more leg quarters in July and August than the same period last year despite a lower total production. That puts a lot of pressure in the leg quarter prices. As we are seeing more the reopening of the foodservice and as we are seeing the absenteeism and staffing of our plants increasing, for us and for the whole industry, we are seeing more deboning. We are already at levels comparable to last year in terms of deboning which will reduce the pressure in the leg quarters. Of course, China has been also more active in the leg quarter market over the last month and we are seeing that in the leg quarter inventory, that was up a sequential basis up to August. But we are seeing a reduction. And also the inventory, today, is down 9% compared to the peak Q1 average that we have. So those two factors can contribute to the reduction in the leg quarter production which is a commodity item, as we mentioned. And the China interest, I think we saw over the last weeks, although not today, the increase in the oil prices and the reduction in the dollar, which increased the availability of dollars from developing countries which also increases the demand for leg quarters. So what cold help on the leg quarters going forward is both on supply and demand. On supply, it is exactly what you said, less leg quarters because of the improvement in labor efficiencies and the more sales in the domestic market on the foodservice. And on the demand because of low prices and because of more available income in the developing economy.
Operator: Your next question is from Peter Galbo with Bank of America. Please go ahead.
Peter Galbo: Hi guys. Good morning. Thanks for taking the question. Fabio, just as I am thinking about it, the small bird and the retail channels obviously have been tremendously profitable for you guys during this time period and with the plan conversion coming. But with commodity big bird remaining and the cutout that you have here remaining under such pressure, just at what point does it make sense to start talking about converting another plant, whether that's to retail or to small bird? Because it just seems like that big bird portion is not going to improve without more capacity either being converted or taking out in the market in some capacity?
Fabio Sandri: Sure. Thank you Peter. I think the decision to convert the plant is a more long term decision. And we always make those decisions combined with our key customers' strategy. As we see the demand of these key customers growing, we take actions in our portfolio. And that makes a lot of sense for us to do that conversion right now from that operation from big bird to small birds to support this growth. I think, again, you need to look into a more broader long term perspective. We continue to expect to foodservice sector to rebound. If you look at the foodservice sector today, the foodservice restaurants are down 13% year-over-year and that is impacting the big bird deboning, for sure, while the QSRs are up 9%. As we go to more normal operations as we see maybe the development of vaccines, we don't know that's going to happen or we see more openings of the restaurants, we expect the foodservice restaurants, especially on the foodservice to regain some market share that they are not operating today. So I think it is a long term decision. And it's also a very difficult decision to move from big bird to smaller, because we have the growers and we have the feed mills. It's all built to that specific bird. Our plants in United States are really customized to that specific segment. So any conversion, it really requires significant capital and requires some significant changes in the overall supply chain, both starting from the growers, your feed mills and your field operations. So it's a high capital investment that needs to be supported for the long run. So that's why we don't see a lot of conversions in our industry. Of course, if this situation continues for a longer period of time, you can see some conversions. I think also it is important to know that some other players don't have the key customer relationships that we have. And moving from the big bird to the small bird or to the case-ready require a customer and a key customer to support. And since they don't have those relationships, it's harder for them to do some conversions.
Peter Galbo: All right. No, that's helpful. And then maybe jus to follow-up, given where the balance sheet is now and something you talked about in your prepared remarks, how should we think about M&A potential, maybe from a geographic perspective? Or does it make sense to bigger in pork in Europe and going into 2021? Just any help there. And then maybe you could also comment any updates on your CFO search? Thanks very much.
Fabio Sandri: Sure. In terms of strategy, I think our strategy continues the same. And our growth strategy continues, in fact. And as we mentioned, we have already strong balance sheet. We are looking to increasing our prepared foods operations and our branded operations to create a more balanced portfolio and we are also looking for chicken assets where we can extract more value from operational efficiencies. We are seeing targets, both in U.S. and outside U.S., geographical diversification and to growth in Europe and we will evaluate all alternatives to our value creation standards. In terms of the CFO, we are in the process of finding another CFO. We already engaged recruiting firms and we should have news in the near future.
Peter Galbo: Great. Thanks very much guys.
Operator: The next question is from Adam Samuelson with Goldman Sachs & Co. Please go ahead.
Adam Samuelson: Yes. Thank you. Good morning everyone.
Fabio Sandri: Good morning Adam.
Adam Samuelson: So maybe first just a clarification and a little more detail on the expansion of the Minnesota plant for case-ready and the conversion of the Texas plant to small bird from big bird. What's the net impact on your production volume? And what's the capital cost for those projects?
Fabio Sandri: Yes. In terms of total volume, I think it should be just a little bit up. We expect to grow in line with USDA expectations on the industry for 2021, which is a little bit lower than 1%. As we have more birds in Minnesota but we also reduce the weight in our operation on the big bird that we are transforming to small birds. So we expect to be for 2021 in line with those two. In terms of investments, it's not very significant to our total CapEx. As the conversion of the small bird plant, it's a simpler conversion. Of course, that QSR requires some DSIs, which is portioning equipment and some marination equipment. And we are going to invest in automation in that plant as well. Today, it is a manual deboning operation. And we are going to invest into automated deboning. So the investment is close to $20 million to $25 million in that operation. And in case of the case-ready operation, it's close to $70 million. So overall, it is a total of $100 million that we are going to invest in those two conversions.
Adam Samuelson: Okay. That's helpful color. And then the follow-up was, I just want to make sure I heard some things right in the prepared remarks. You talked about the prepared food business in the U.S. declining 26%, I think is what I heard. And maybe hoping just to expand on that? That's a business that I think that has a few more challenges over the year? And is it really just a question of return to school and foodservice traffic? Or how do we think about that business from a margin profile moving forward?
Fabio Sandri: Yes. That's exactly it. In our prepared foods business, we have a strong brand which is the Pierce brand. That is mainly a foodservice brand. We also are very strong in the school with our Gold Kist brand. Both those segments are the ones that are most affected by the COVID-19. The non-commercial foodservice, that includes schools, were down 66% at Q2 and now they are down 43%. We are seeing some school reopens which could help but it's a segment that is still down 40%. On what we call the commercial foodservice, which is the street business, there our Pierce is a leading brand in wings and in chunks. We saw that in Q2, they end up 36% lower than the prior year. But they are rebounding and then today they are close to 4% lower than the same period last year. So the foodservice business has been recovering and with that our Pierce brand has recovered in our volumes. But the school system is still close to 40% lower than the prior year. And that's why we are investing in more retail branded business. As we mentioned, our Pilgrim's brand has increased more than 30% and we have been very successful in expanding the Just BARE from the fresh category, where it has been very successful on the online segment and also on the higher attribute segment in our key customers to the prepared food segment.
Adam Samuelson: All right. Great. That's helpful color. I will pass it on. Thank you.
Fabio Sandri: Thank you Adam.
Operator: The next question comes from Carla Casella with JPMorgan. Please go ahead.
Carla Casella: Hi. My question is regarding your leverage. That three times target, how comfortable or how high would be comfortable taking that in the event of additional M&A? And are you seeing any more M&A opportunities, just given the volatility in the worldwide protein market?
Fabio Sandri: Yes. Thank you Carla. We set these targets of two to three times because it's the best capital structure that can protect and reduce our interest payments while not creating any problem for our bonds and for our leverage. The two to three times is in normal operations. Of course, during some acquisitions, if we have a great plan on how to reduce that back, we can go further. I don't think there is a number that is specific on where we go. I think it's more about what is the plan to deleverage. And of course, the plan to deleverage could include the issue of stock. And that's why Pilgrim's, as a public traded company, has that opportunity to use the stock as a currency, not to increase the leverage to points where we don't think it is prudent in the case of significant acquisition that will be transformational for the company.
Carla Casella: Okay. And just one last one.
Fabio Sandri: Sorry, in terms of M&A, yes, we are seeing more targets. Of course, the whole situation about traveling has created some challenges in terms of seeing and visiting assets. But we are seeing some targets that are still very interesting to us and could create a lot of value for our shareholders.
Carla Casella: Okay. Great. And then just in the event that JBS is able to list the U.S. business, would that cause any need for a change in your structure?
Fabio Sandri: Yes. We don't believe so. I think JBS has said many times that they continue to support Pilgrim's to be a public traded company. And just as I mentioned, it is a great way for us to keep our growth. We can use the equity as a currency in the case of a very important and transformational event for Pilgrim's.
Carla Casella: Okay. Thank you.
Operator: [Operator Instructions]. Gentlemen, there are no more questions registered at this time. I would like to turn the conference back over to Fabio Sandri for closing remarks.
Fabio Sandri: Well, thank you all. We would like to reiterate our continued commitment to our valued team members to provide them with a safe and healthy work environment while supporting our duty to maintain food production and supply to customers. We are looking forward to closing 2020 with good results in spite of the volatility. Our diverse portfolio of differentiated products tailored to support our key customer strategy in conjunction with our broad geographic footprint, we continue to generate consistent performance and minimize margin volatility in challenging market conditions relative to competitors. We will continue to seek new growth potential, both organically and through acquisitions, while offering even more differentiated products portfolio within our business to support key customers' needs by cultivating a culture of constant innovation. We will like to thank everyone in the Pilgrim's family, including our family farm partners, suppliers and our customers who make our business possible. As always, we appreciate your interest in our company. Thank you for joining us today.
Operator: Ladies and gentlemen, the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.